Operator: Ladies and gentlemen, thank you for standing by, and welcome to today's Lundin Mining Fourth Quarter Results. At participants at this time, are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session.  Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Marie Inkster, President and CEO. Please go ahead.
Marie Inkster: Thank you, operator, and thank you, everyone, for joining Lundin Mining's fourth quarter and full year 2020 results call. I would like to draw your attention to the cautionary statements on Slide 2 as we will be making several forward-looking statements throughout the course of this presentation. On the call to assist with the presentation and answering questions, are Jinhee Magie, our Senior Vice President and Chief Financial Officer; and Peter Richardson, our Senior Vice President and Chief Operating Officer. On Slide 4, I want to take some time to touch on several of Lundin Mining's achievements in 2020 as they place us in an excellent position to perform well in 2021 and year ahead. While responding to COVID-19 required that we adjust some of our plans earlier in the year, we had our share of challenges in the fourth quarter. We acted quickly and decisively to overcome these. The loss of our colleague at Neves-Corvo in the third quarter remains top of mind within our organizations. A fatality is a rare event within Lundin Mining because of the dedication and focus of our workforce when it comes to safety. In 2020 we achieved the best ever safety performance as measured by Total Injury Frequency Rate and several other indicators. This achievement is particularly notable in a year filled with the distractions, both personally and professionally of the global pandemic. We achieved our most recent production guidance for all metals with cash costs in line or better than our guidance, including notably low first quartile cash costs at Chapada and Eagle. This led to the generation of nearly $860 million of adjusted EBITDA in a volatile metal price environment over the course of the year. We were able to complete our Candelaria Mill optimization project in the fourth quarter and made progress on growth initiatives. We were achieving actual  progress advancing with an expansion project at Neves-Corvo prior to our proactive decisions to temporarily suspend the project to protect the operations and the local communities from the onset of COVID-19. Mining works continued throughout the year and the project officially restarted in January of this year. At Chapada, following a brief suspension in the exploration program in March, we were able to ramp back up quickly and safely and completed nearly 42,000 meters of drilling that will help confirm our expansion studies. And at Candelaria we progressed our internal studies evaluating medium-term opportunities to expand the underground mines.
Jinhee Magie: Thank you, Marie. Looking at the summary of our results on Slide 5, our operations in aggregate produced nearly 420,000 tonnes of base metals in 2020, including over 96,000 tonnes in the fourth quarter. In addition, we produced 163,000 ounces of gold in 2020, an increase of 15% year-over-year with the full year's contribution from Chapada. For the year, we sold over 380,000 tonnes of payable base metal and generated revenue of over $2 billion. Fourth quarter revenue totaled $530 million, including positive price adjustments for prior period sale. Prior period price adjustment had a negative $50 million impact on revenue or $0.08 per share for the year. However with strengthening metal prices, the fourth quarter impact was a positive $48 million or $6.5 per share. A detailed breakdown is available in our MD&A. Consistent with the prior year, 65% of our revenue was generated from copper sales in 2020. Gold contributed 12% to revenue, up from 9% in the prior year, with the full year contribution from Chapada in the increase in the gold price. Zinc, nickel, and lead and contributed a combined 19% to total revenue in 2020 down from 23% the prior year likely evaluation effect with the first full year of copper and gold sales from Chapada. We remain predominantly leveraged to copper and well diversified geographically. Slide 6, presents a summary of the full-year financial results. I will also touch on our fourth quarter results. 2020 revenue was 8% greater than last year, mainly attributable to the first full year contribution of the Chapada mine following acquisition, as well as higher realized copper and gold prices. Gross profit was 13% higher, reflecting the Chapada acquisition offset by higher depreciation. Attributable net earnings from operations were $0.23 per share for the year in line with the prior year and $0.16 per share for the fourth quarter. Fourth quarter earnings were higher than the comparable period in 2019, primarily due to higher realized metal prices, partially offset by lower copper sales volumes.
Marie Inkster: Thank you, Jinhee. Moving to Candelaria on Slide 7, in December after reaching new collective agreements with all unions representing the employees, the operations safely ramped back up to full production and exceeded our most recent guidance producing nearly 127,000 tonnes of copper and 76,000 ounces of gold at cash costs of $145 per pound of copper for the year. The fourth quarter cash costs includes the expense of approximately $13 million associated with the new collective agreements, although it excludes $5 million of costs directly associated with the labor action. This is detailed in the MD&A. The Candelaria Mill optimization project is now complete with the installation of the final ball mill motor completed in December. Full-year capital expenditure of $216 million is modestly below guidance of $225 million. 2021 capital expenditures are forecasted to total $345 million including $160 million on waste stripping. Candelaria is positioned to deliver 40% production growth this year on improving copper head grades and achievement of planned processing rates.
Operator: Okay, thank you.  Your first question comes from Orest Wowkodaw from Scotiabank. Your line is open.
Orest Wowkodaw: Hi, good morning. I was wondering if I could ask a couple questions about Candelaria specifically. Marie, did I hear you correctly, that you said great profile there in the first half of 2021 will be similar to the back half of '20, was that correct?
Marie Inkster: No, not exactly the first half Orest, but we'll start the year in those levels. We expect it to improve as we go throughout the year.
Orest Wowkodaw: Okay, so even if you start out around kind of 0.55 level, can you give us some insight in terms of what should we assume for the average grade for the year if it's going to start out that low?
Marie Inkster: Well, I mean, you can probably back into it from the guidance, but when you look at last year we were directly in line with our technical report issued in 2018 when you look at the grades. So, there shouldn't be any great surprises. We know that it gets better as we get deeper in the pit and so we'll have an improving profile. Peter, I don't know if you want to comment on that. We don't typically guide on grade, but just some general guidance there?
Peter Richardson: Well, but as you said, we know that the pan improves with that and we're getting deeper and deeper down in phase 10, so that's all according to the technical report in 2019.
Orest Wowkodaw: Okay, then now that you've completed the mill optimization, can you give us a sense of what kind of throughput levels are you achieving and has the ore hardness issue gone away?
Marie Inkster: Sure, Peter did you want to take that one?
Peter Richardson: Yes. So first of all, and I'll see most of them in the mill optimization project. The aim there was to increase throughput by 4000 tonnes a day, and also improve metal recovery, copper at 1.7%, that was the goal there, that's how it gets. We are seeing better throughput as we also get lower down on Phase 10. As we've said previously, the lower we get down our Phase 10 the softer the ore is, we know that. The ultimate throughput rate also depends on the ore blend and at the time, and at the same time we're feeding more and more ore from the underground which is harder. So it's, it's going to be a combination of the blend. But we're seeing better throughputs as we get deeper down the Phase 10. We also see we have more power now in the secondary mills.
Orest Wowkodaw: Are you getting close to that kind of 80,000 tonnes a day level, is that kind of what we should be thinking about?
Peter Richardson: We don't disclose the info on this quarter, but throughout puts are improving.
Orest Wowkodaw: Okay, but is that ultimately where you're going or where Candelaria is going with the improvement, 80,000 tonnes a day?
Marie Inkster: Yes, I think we've been there, we've been there Orest at those levels, and so we just finished with the last installation of the ball mill motor. We're working on new liners, so we'll probably have a couple of months where we work out the kinks in the new, with everything in place. But yes, I'd say that we're looking at that as a typical level that we would aim to achieve on a consistent basis.
Orest Wowkodaw: Thank you very much.
Operator: Your next question will come from Jackie Przybylowski from BMO Capital Markets, your line is open.
Jackie Przybylowski: Thanks very much. Just a couple of other projects update questions maybe, first of all on the ZEP. Can you maybe talk a little bit about re-mobilizing the contractors there? I know that you mentioned in the early part of the call, it difficult to keep the contractors on site due to COVID. How is that situation in Portugal right now, and is remobilization going well or is that at all a risk as you ramp that project back up?
Marie Inkster: Yes, we don't see it as a risk, we had built into our timeline that we would be mobilizing with less people on site in smaller numbers and in extended schedules, so that's built into our base case. And Peter, do you want to talk about the project and what we've been doing in the remodel?
Peter Richardson: Yes, yes, sure. So we have been, we are moving people, both underground and the surface. At the moment we're working with piping and mechanical work, underground also splicing of belts, and then on the surface there is piping and mechanical work and some work in the grinding section. As Marie said, we have built that in our time schedule. We are also working on the strict COVID rules and restrictions of procedures. So we test everyone that comes back, but if people that are outside of the area and to quarantine we have a practice before they could come on site. So we're making sure that everyone that is outside is fit for duty and then does not have any COVID symptoms or infection.
Jackie Przybylowski: That's great, thanks. And then maybe shifting gears to Chapada, so it is hard to tell from the release that came out yesterday, but I mean it sounds like you're still kind of reviewing the options in terms of the size and scope of a potential Chapada expansion. Are you able to give us maybe a bit of updated color in terms of where you're at on the drill program and on the studies and when we may expect to see a result or at least to see further study results and maybe the options you're looking at? Is there any color on the timeline at this point to getting that completed?
Marie Inkster: Yes, so further the study and any release to the market as to where we're going with the studies that's going to take a while Jackie. We are looking at a mid-year internal review with our Board at the various scenarios and we do continue to study the scenarios, everything from the modest expansion work up to a doubling. So there's three primary scenarios that we're looking at. But as you mentioned the exploration program will really feed into that and it's been going very well. We did curtail the program early in the year in 2020, but we ramped up quite quickly and were able to complete more than the 40,000 meters that we had originally targeted, and then another 60,000 meters this year is what's in the plan. So and we don't think we'll have any issue meeting that target and that will be important to inform the studies as well. So I would say that the next update that we would provide would be on an exploration update, probably midyear, if we can have a reasonable update at that time and we're working on some different land acquisitions and other things. We hope to have those wrapped up within the first two quarters, so that we can provide an update in mid year. And then probably the studies will be a bit longer before we come to ground on which avenue might be appropriate for this, the expansion scenario.
Jackie Przybylowski: Is this some -- the scheduled seems like it's a little different from what you had first thought when you acquired the property, is it because of COVID and the delays that they experienced in drilling related to COVID? Is it an issue that the opportunities are just maybe there's more opportunities than you expected and you're --you just want to sort of investigate all of them or what exactly is the cause of this exploration kind of taking longer than you had initially thought?
Marie Inkster: Yes, I think there's a lot of opportunity. And it's really, if you're talking about building a new plant or moving significant infrastructure, you want to make sure that you have the drilling done to support where you're going to put those things, where the future center of gravity is going to be, make sure you're not repeating what's happened already, which is infrastructure on an ore body. So, there's a lot of information coming from the drilling programs, and a lot of good work ongoing on the various scenarios. So, we don't want it to take forever, but we do want to make sure that we have the best information that we can before we go forward with a major investment.
Jackie Przybylowski: Sounds great. I'm going to hop back in the queue, but I'll let somebody else jump on that. Congrats on a great quarter, thanks.
Marie Inkster: Thanks, Jackie.
Operator: And your next question comes from Ioannis Masvoulas from Morgan Stanley. Your line is open.
Ioannis Masvoulas: Hello, good morning and thanks for the presentation. And three questions from my side, the first one on Chapada again, just a follow up to Jackie's question. Should we be thinking about full update on the expansion option in early 2022 now instead of back end of this year? Then the second question around Neves-Corvo will simply be putting a lot of effort on optimizing the ore mix and improving the development rates, but is that going to benefit Q1 production or shall we expect a slow start to the year for Neves? And the third question from me is just on capital allocation, we're seeing the step up in production rates this year and strong metal prices suggesting a nice popping in free cash flow, but at the same time dividend yield is below 2%. So I'm just trying to figure out in terms of timing or naming additional cash returns, would you wait until ZEP is fully derisked before making a decision around that? Or would you have confidence if the current commodity price environment persists to increase the dividend without necessarily waiting for Q4 once  it's fully commissioned? Thank you.
Marie Inkster: Okay, sure. So we got three there that, I’ll go back to the first question on the timing and follow up to Jackie's question, which was around the timing of Chapada, and we'll obviously want to bring that forward as fast as we can. We would like to have something in the back end of the year, but I don't want to make any promises that we can't keep if we're not ready then. So, we'll bring the information as soon as it's realistically available and reliable to the market, but yes, it could be early next year or it could be end of this year. We're working on that and we'll try to expedite that as well as we can. On Neves-Corvo for the ore mix, the Q1 production, I would say rely on the guidance. We did have backlog of development activities, but we are improving there. Peter, I don't know if you want to comment on the ore mix and the availability of stopes is the key for the production there.
Peter Richardson: No, not more than you said, I think it's really good that you said, rely on Q1 production forecast. We're continuously working on improving mine productivity and primarily focus on, as you said previously, horizontal vertical drift, drilling development to be able to build inventory, so we can optimize both production and then the mix.
Marie Inkster: Yes, thanks Peter. And then on the third question of capital allocation and the free cash flow, yes, we're quite happy and excited to see that we're in a great metal price environment and have been investing over the last couple of years. So we're positioned well to take advantage of that. We did increase the dividend by 50% just recently, so $0.24 per share per annum is the current rate. And we've committed to our Board to come back midyear with a review of where we are. So we'll have an update on that midyear. This time we are not going to wait until ZEP is finished or anything else. We'll have a look at midyear.
Ioannis Masvoulas: That’s great, thanks. Thanks so much.
Operator: And your next question will come from Jack O'Brien from Goldman Sachs. Your line is open.
Jack O'Brien: Hi, good morning, Marie. Good morning, everyone. Thank you for the presentation. I just want to clarify firstly on the unit cost guidance you've given. I think you mentioned for Chapada that there's no significant sort of change in operating costs year-on-year '21 on '20. It's mainly a function of some of your assumptions. I noticed there's also increases at Neves-Corvo and Zinkgruvan and Eagle, albeit lower. Can you just confirm for those three mining areas as well or it's really just a function of assumptions, or are there any sort of underlying considerations we should also factor that? That's, my first question.
Marie Inkster: Yes, it's a combination of the output and the unit costs on a cost per tonne milled in each of those places is very stable, so we don't expect any step change in costs. Our budget assumptions are in the table where we put our cash cost also are very small, so you need a magnifying glass to see them, but we do use, say for example, 475 real was our assumption for our 2021 budget. And we know that that is in our favor, as well as the copper price, which we budgeted at 295. So that's just an example. The Euro, U.S. at $1.20 and the SEK 850, so depending on where that goes, it will affect the cost profile, because the costs are in those local currencies. But underlying costs, there's nothing fundamental that's changing in the business that would affect those costs.
Jack O'Brien: Got it, thank you. And just a couple of small follow-ups. Are there any, can you remind us just if there's any other sort of union negotiations due in 2021 across your portfolio?
Marie Inkster: Typically, with Brazil, it's an annual negotiation, and they pass quite calmly and without event. Our Chilean mines, which are the ones, of course that people will be most concerned about, and typically is a more prolonged and difficult process of negotiation, we don't have any expiring contracts until 2023. We just agreed a new contract in Portugal. Peter, I'm not sure of the duration of that. I know there's an annual salary adjustment, but I think the union agreement itself hasn't changed in many, many years.
Peter Richardson: Yes, that was correct.
Marie Inkster: Yes. And then that we've seen annual…
Peter Richardson: And we just closed the ones in Sweden as well.
Marie Inkster: Yes, yes. And Eagle mine is not unionized.
Jack O'Brien: Okay, that's incredibly helpful, thank you very much. And then just a final one, which you've touched quite a lot on some of your exploration and sort of internal expansion opportunities. First, I was just wondering, and I sure noticed your guided exploration spend is sort of down fairly meaningfully for '21 on '20, so just interested in thoughts there? And then I guess the follow up, given that there is so much in sort of your existing footprint or near it, should we assume that kind of internal opportunities are your first priority over M&A?
Marie Inkster: I would say that they're not mutually exclusive and if we found a good project, we would definitely take advantage of that and invest and drill. And we continue to look for properties that we can develop and drill. And we have a team in Toronto and in South America, looking at opportunities on the early stage exploration side. So, we don't have any -- we have a lot of opportunity around our sites, which is why you see the big budget around our sites, and it's very prospective, but I wouldn't take that as an indication that we don't have interest in other opportunities. I'd say the opposite that we would like to have additional opportunities, but we do have very good opportunities in and around our sites. I think one of the big differences is to think, the Zinkgruvan program is a lot less in terms of spending this year, but that's because we've moved a lot of the drilling from surface to underground. So even though we still have a lot of meters planned, I think it's 27,000 meters. Peter, correct me if I'm wrong, we still have a lot of meters planned, but they're drilling from underground base. So it's a lot cheaper than the surface drilling, so that brings the budget down quite a bit. So but, we have a lot of prospectivity, a lot ongoing and will continue to be active on the exploration front.
Jack O'Brien: Great, thank you, Marie.
Operator: And your next question will come from Daniel Major from UBS. Your line is open.
Daniel Major: Hi, and thanks for the presentation. A couple of questions, slightly follow up questions, but I'll ask them anyway. On the sort of cash returns and the balance sheet, if we look at the cash generation this year, and certainly if the super cyclists out there are right, there's going to be a large net cash position at the end of the year. Can you give a preference at this stage, special dividends or buybacks? And do you intend to be exercising anything on the NCIB at this point, and at the share price level is the first question?
Marie Inkster: Yes, so I would say that given where we are in the cycle, and we're high above our long term pricing, and we're not at an all time high for our stock price, but we have a very good healthy stock price. It's probably less likely that we would undertake a buyback at this point in the cycle, and more likely to give returns in other ways.
Daniel Major: Okay, very clear, thanks. And then second question, I mean from what it sounds like on your comments around the Chapada expansion, we're not likely to hear much until the end of this year or early next year. Is it fair to assume then that it's unlikely that you'd be able to deploy meaningful amounts of capital into that project until 2023? If that is the case, should we be assuming CapEx somewhere around the $450 million, $460 million mark in 2022?
Marie Inkster: I'm not sure what - you'd probably be able to get the number from our technical reports, because they're pretty fresh. I would say you're probably in and around the right ballpark. I mean, we go between, call it $500 million and $375 million depending on where we are with push backs in the various pits, so there is a bit of a range there I would say averaging $400 million plus or minus 100, depending on what we're doing and where we are. But I wouldn't say your number is off base without information right in front of me for that year, I wouldn't say that you're materially off base.
Daniel Major: And is it correct to assume it's unlikely that there's a huge amount of upside risk from that driven by Chapada?
Marie Inkster: No, and I would say that if we are going to invest in a project, it would be one with a good return. So where you have cash flow reducing in the near term, you should have, announced in the long term. I'm just trying to remember from the budget, Jinhee 2022 CapEx similar levels, but slightly lower than '21 I think and then a little bit of a drop off '23, '24 do you recall?
Jinhee Magie: Yes, that is correct Marie.
Daniel Major: Great, thanks.
Operator: And your next question will come from Abhi Agarwal from Deutsche Bank. Your line is open.
Abhinandan Agarwal: Good morning all. Congrats on a strong set of results. I mean, it's such a challenging year. Thanks for taking my questions. I have two questions, please. So the first one is on the balance sheet, when you think about balance sheet, is there a net cash level you think about in case you have to execute on a transaction? And my second question is a generic question on inflationary pressures. A lot of your peers who have reported have highlighted inflationary pressures coming through. Are you also seeing that come through your operations? Thank you.
Marie Inkster: Sure, I'm going to ask Jinhee to feel that, because I know that she's been working with the sites on our minimum cash balances, and also has been monitoring the inflation and other cost pressures. So Jinhee, do you want to take those two? Jinhee, you may be on mute.
Jinhee Magie: I was on mute, sorry. So I didn’t catch although the first question, can you just repeat the first question?
Marie Inkster: Oh, sorry. Go ahead.
Abhinandan Agarwal: Sorry, so my question was, when you think about the balance sheet, is there a net cash level you think about in case you have to execute on a transaction?
Jinhee Magie: Yes, sorry. No, we -- when we think about executing on a transaction, we look to, we can always borrow to execute on transactions, so we don't manage our net cash for purpose of transacting. So, we look at shareholder returns from our operations, and then we can look at borrowing if needed to act on transactions. And then I think your second question was on the inflation. And overall, we're not actually seeing any significant general cost inflation at our operations at this time. Where we are seeing some inflation is or expecting some would be in some specific consumables. Like, for example, in the grinding media we are expecting some increase there, because of the current steel prices. And again, another one like diesel, again is another area where the price will be impacted by broader markets. But generally, I would say our operations are not seeing significant general inflation. And I think, when we looked at some of our maintenance service contracts, some of those, many of our operations have long term service contracts, so again, not seeing a short term inflation impact. On a country-by-country basis, I think Brazil is one that's experienced a little higher inflation in the recent year. And I think they're the larger part of what we have going for us is that the exchange rate there is quite favorable, and so it's offsetting any of the inflation that we might see. So again, I guess, overall, really not expecting, we're experiencing costs in line with our expectations and more of an impact I would say on our lead times and prices at this point.
Abhinandan Agarwal: Got it. Thank you.
Operator: And your next question will come from Ioannis Masvoulas from Morgan Stanley. Your line is open.
Ioannis Masvoulas: I have a couple of follow ups if it's okay. The first one is about the -- in terms of the expansion, my understanding was that if you were to go down the path of a significant expansion, that's say in the 50% or 100% of existing sort of portrayed that would require an expensive permitting process that Quebec could be the volume . Could you just remind us how long could that first production if you were to announce a plan that's say 1, Jan 2022, how long would to take to actually get the approval and hypothetical construction timeline? And then secondly, in terms of working capital, I was just wondering, because you have had the disruptions around Candelaria and Chapada in Q4. Is there any excess inventory that you may have to work through or do you feel that overall inventory balances and wages cap in general is at the normal level as of the end of Q4? Thank you.
Marie Inkster: Okay, yes, sure. On the expansion permitting timelines, the permitting process in Brazil has changed recently. It used to be based on throughput levels and tonnages and things, but now they've moved to a footprint based type of scenario. Peter, I know you've been looking into this and have been talking about the permitting timelines and potential timelines and can you give a little more color on that?
Peter Richardson: Well, a little bit early to say on the timeline, so the project that all depends on what alternative is chosen at the end of the day. Permitting timelines, that they have been increasing, so it's also difficult to say that's going to also reflect finally on what alternative is chosen. So I don't know if we can say much more now on that Marie.
Marie Inkster: Yes, I think if you look at, say a new EIA in Chile takes, it used to be 24 months, and now it's probably closer to 36 months. But it would probably be something less than that. And there's probably, it would probably be less than half of that. But there might be preparatory works that you could do in the meantime, and other things that you could do to advance the project while you're waiting for certain permits. So, again, Peter is correct. It's difficult to say exactly, but we would anticipate that we could start early works and do different things within the existing footprint as we wait for any major permits that are required. On the working capital, access to inventory. Jinhee, did you want to address that one? I don't, I'm not aware of anything, but you may be.
Jinhee Magie: Yes, sure. I think -- we have a little bit more in the inventory that we did at the end of the third quarter. That's because we did have a shipment delayed at Candelaria, but I would say it is in line with what it was at the end of last year. So I wouldn't say it is excessively too much inventory at the end of the year, but it is a little bit higher than it was at Q3.
Ioannis Masvoulas: Okay, great. Thank you. Thanks again.
Operator: And your next question will come from John Tumazos. Your line is open.
John Tumazos: Thank you very much. Did you review what your size thresholds are for new projects in terms of mine life, total tonnes, copper equivalent NPV or IRR? There are few big porphyries available, but there's a lot of little projects dancing around.
Marie Inkster: And yes, typically we wouldn't look at something under say a 50,000 tonne copper equivalent unless we felt there was a prospect to get it above that. And the reason for that is that, an operation takes an equal amount of management time and effort if it's, 20,000 tonnes or if it's 200,000 tonnes, if it's got challenges. So, we don't want to be in a position where we have 15 mines and 10 of them offer you 5% of your NAV. That sounds like a big managerial and administrative nightmare for not a lot of return for your efforts. So we'd rather focus on things that are going to be meaningful, and if we're going to acquire something to make sure that we're spending our efforts on things that are going to make a difference for the company. And then in terms of mine life, I think Eagle was a very special one for us and it remains very special in terms of being an exceptional ore body and you'll see from the free cash flows, that it's an excellent operation. We wish that it had a longer mine life and so typically with mine life, we're looking at things of a greater than 15-year mine life and recognizing that. We're lucky with Eagle that we are we were able to find Eagle East and that we're benefiting right now for some very good pricing. But in this business, we've been below our long term copper price for almost the last 10 years. And so if you have a short mine life and you invest in a long term pricing, you may not make your money back if you don't have -- if you can't ride at least one or two of the cycles, then you risk not making your money back in this business. So, we do look at that from time-to-time, but we really have been sticking to our criteria in terms of what we're looking for.
John Tumazos: Does this mean only porphyries? And you can save time by just skipping VMS deposits?
Marie Inkster: No, none of our last acquisitions were porphyries. Chapada is not and depending on who you ask Candelaria is an IOCG and Eagle was a sulfide. So it doesn't necessarily mean that we won't look at those types of ore bodies. I mean, we do have very good underground expertise within the company. We have, that's one of our core skills. And so, large block caves and at Candelaria, for example, we're doing 14,000 tonnes per day, which is one of the larger non-block caves underground mining operation. So I think, our mines are open, and we'll look at various options for things.
John Tumazos: Thank you.
Operator: We have no further questions into queue. Oh, wait a moment. We have Jackie Przybylowski. John Tumazos, are you finished taking your question?
John Tumazos: I’m finished. Thank you.
Marie Inkster: Okay. We can make time for one.
Jackie Przybylowski: Sorry, is this my turn? Okay, sorry about that. I just hopped on again at the last second. I just wanted to circle back on your dividend. I realized that, the announcement just came out today for the $0.06 dividend per quarter. And I know the day a dividend is announced is probably not the right time to ask about the next dividend announcement. But I'm just kind of curious if you could talk through some of the expectations you're using when you set the dividend. And I realize you've already gone through the commodity prices, but I'm thinking more in terms of like, how much spending do you think that you would sort of be comfortable with? I know you kind of talked about this already net cash, but like what kind of net cash or net debt level would you be comfortable with going forward and incorporating that, into that, so the Chapada expansion or any kind of new future projects? Can you give us just a little bit more color in terms of like where you might see the dividend from here? You mentioned earlier that, you might prefer not to do a buyback at this point, but maybe some other options. So is there a possibility that you'd incorporate a special into the mix at some point, can you just give us a little bit of color on what your thinking is around all that?
Marie Inkster: Yes, so that's what we'll be discussing with the Board midyear and so we'd like to, we've just come off a fairly rough quarter and we'd like to see a good chunk of time with some steady production and to see the continuation of the metal prices. We also know that the market's been heating up in terms of M&A, we want to look at the opportunity set, and what options there are for investing in some accretive transactions. So we'll look at that in connection with our cash balances and the expectations going forward midyear. And, I'd say our general view is, you don't borrow to pay a dividend you borrow to invest and you pay your dividends from cash flows. So that's the mentality that we would use when we look at the dividend. And I think Jinhee talked about the net cash and we have no intention of hoarding cash on the balance sheet for a rainy day or anything like that. That's not what we want to do. We want our assets including cash to give us returns, so we'll look at that midyear.
Jackie Przybylowski: Got it. Thanks very much Marie.
Marie Inkster: Okay. Thank you everyone for participating in the conference call and looking forward to reporting a good strong Q1 result to you in April.
Operator: Thank you everyone. This will conclude today's conference call. You may now disconnect.